Operator: Greetings, and welcome to the RingCentral's Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Paul Thomas, Senior Director of Investor Relations for RingCentral. Thank you, Mr. Thomas. You may begin.
Paul B. Thomas - RingCentral, Inc.: Thank you. Good afternoon, and welcome to RingCentral's third quarter 2017 earnings conference call. I'm Paul Thomas, RingCentral's Senior Director of Investor Relations. Joining me today are: Vlad Shmunis, Founder, Chairman and CEO; Dave Sipes, Chief Operating Officer; and Mitesh Dhruv, Chief Financial Officer. Our format today will include prepared remarks, led by Vlad, Dave and Mitesh followed by Q&A. Some of our discussions and responses to your questions may contain forward-looking statements. These statements are subject to risks and uncertainties. Actual results may differ materially from our forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission and is incorporated by reference into today's discussion. RingCentral assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. I encourage you to visit our Investor Relations webpage at ir.ringcentral.com to access our earnings release, slide presentation, our non-GAAP to GAAP reconciliations, our periodic SEC reports, a webcast replay of today's call and to learn more about RingCentral. For certain forward-looking guidance, a reconciliation of the non-GAAP financial guidance to the corresponding GAAP measure is not available as discussed in detail on our Investor Relations website. With that, let me turn the call over to Vlad.
Vladimir G. Shmunis - RingCentral, Inc.: Good afternoon, and thank you for joining our third quarter earnings conference call. This quarter's results were outstanding. We outperformed in multiple ways. First, our software subscription annualized recurring revenue, or ARR, broke the $0.5 billion mark at $514 million. This is an important milestone towards our stated target of $1 billion by 2020. Second, our year-over-year total revenue growth rate increased to 34%, up from 30% last quarter. Third, our mid-market and enterprise business continue to lead the way. Mid-market and enterprise, defined as 50 seats or greater, is now a $155 million annualized business. It grew 80% year-over-year and contributed over 50% of our new office business in the quarter. Our channel partners were again key contributors to our outside growth with these customers. Fourth, this quarter, we also closed a record 10 deals with over $1 million in total contract value. This is up from seven such deals last quarter and six the quarter before. The strength in our business this quarter reinforces the fact that cloud is winning and RingCentral is winning in the cloud. The reason cloud is winning is because it is able to address the needs of modern mobile and global enterprise workforces that are hard, if not impossible, for legacy on-premise systems to match. The reason we're winning in the cloud is because of our core differentiators. This include: our integrated collaborative communications capabilities; our open platform with broad integration capabilities; our best-in-class integrated contact center and video solutions; our extensive global capabilities; and our world-class customer care and service organizations. To bring the RingCentral community together, in October, we hosted our second annual user conference, ConnectCentral 2017. With tripled the attendance of our first user conference last year, we brought together customers, prospects, channel partners and a number of open platform developers. We also had a number of our strategic partners present including Google, Salesforce, Okta, Box and others. Additionally, we hosted our first Industry Analyst Day with nearly 20 leading industry analysts participating. It was an exciting event with several new leading-edge product and platform analysis. We announced new integrations with Google G Suite, Amazon Alexa and Slack. We announced advanced integrations for Glip team collaboration with AI and Chatbots, and we introduced real-time Global Quality of Service analytics. This is very hard, if not impossible, for legacy systems to match. We win on innovation. The moat between us and our direct competitors continues to widen. In fact, we consistently invest more than twice as much in R&D as the number two pure play cloud vendor, while growing twice as fast on the base almost twice as large. Our commitment to innovation and customer success has not gone unnoticed. We won multiple awards and recognitions in the third quarter. For starters, for the third consecutive year, RingCentral was named Gartner Magic Quadrant Leader for Unified Communications as a Service worldwide. We have again claimed the most visionary spot while moving up in execution. Interestingly, some other competitors moved in the opposite direction or were dropped from the quadrant all together. We were also named Frost & Sullivan Company of the Year for the second year in a row. We were rated the number one leader in the IHS Markit 2017 North American UCaaS Scorecard. And, we were also named a leader in The Aragon Research Globe for Unified Communications and Collaboration for 2017. In summary, on-premise solutions are in secular decline. Some legacy players including hosted solutions vendors are consolidating. Meanwhile, cloud continues to win across the board and we continue to significantly outpace all direct competitors in the cloud. Moving forward, I would like to reiterate our unwavering commitment to innovation and customer success as we continue to disrupt the $50 billion plus business communications market through the cloud. Now for some additional color, I will pass it over to our Chief Operating Officer, Dave Sipes.
David D. Sipes - RingCentral, Inc.: Thank you, Vlad. As Vlad mentioned, we saw great momentum this quarter in our business. We are winning because of our open platform with broad integration capabilities, our integrated communication and collaboration solution, superior mobile-first user experience and our global coverage. These differentiators helped us win significant deals in the quarter. Let me give you some color from some of the 10 large wins Vlad mentioned. One win was with Central Health, a public entity that provides access to high-quality healthcare. Central Health had a legacy on-premise system and they were looking for an innovative mobile-first solution, HIPAA compliance and integrated cloud contact center. RingCentral's Contact Center and Office solutions gave them best-in-class mobile performance with integrated contact center and our new HIPAA compliant Glip collaboration capabilities. Another win was with a leading provider of corporate travel management services. They are growing rapidly and expanding across new locations organically and through acquisitions. Their legacy contact center and PBX systems were not able to keep up. They needed a highly-scalable and flexible integrated cloud contact center and UCaaS solution to address their global needs. They also required an open platform to integrate with their existing travel management solutions. In the UK, we won a global multi-thousand employee digital advertising agency. They were looking to replace their Cisco legacy system. They needed an open platform with integration capabilities with Okta and other solutions. A key requirement was the ability to support their global workforce in 16 countries across five continents. Our channel partners continue to be key contributors to our success. They are choosing RingCentral as more of their customers demand best-in-class cloud solution. As a result, we're signing up more channel partners who have traditionally sold Avaya, Cisco and others. This quarter alone, we signed four new Avaya Diamond-level resellers. As Vlad mentioned, we win because of our differentiated capabilities, including a thriving open platform. Our customers are now using over 850 standard and custom applications that are integrated with RingCentral Connect Platform, more than doubling year-over-year. Furthermore, we now have more than 7,000 developers leveraging RingCentral Connect Platform to develop integrations enabling efficient enterprise workflows. Our relentless pace of innovation continues. I'll add some color here to our user conference announcements that Vlad mentioned. We introduced Global Quality of Services analytics. Administrators can now see quality of service for every leg of every call on a global basis. This comprehensive dashboard allows administrators to anticipate and diagnose quality of service in real-time. We expanded our ecosystem with integrations with Google G Suite, Amazon Alexa and Slack. RingCentral for Gmail is an add-on that intuitively surfaces key contextual RingCentral capabilities within Gmail such as presence, messaging and calling. RingCentral's integration with Amazon Alexa powered devices enables users to interface with RingCentral through voice commands to play messages and initiate calls and texts. RingCentral for Slack brings video meetings and PSTN calling capabilities into the Slack messaging platform. We also announced integrations for Glip team collaboration with AI and chatbots. Enhancements included the Salesforce Alert Bot in Glip that captures Salesforce events and sends notifications to Glip teams. In addition, platform partners Kore.AI has enabled four leading bots within the Glip platform, including Salesforce, Twitter, Asana and Trello. We also announced the expansion of RingCentral Global Office platform to include Peru, Brazil and Argentina. By the end of 2017, the RingCentral Global Office footprint will extend to 37 countries and offer virtual numbers in over 80 countries. We have now done on-site professional service deployments globally in 28 countries. The cloud is winning and RingCentral is winning in the cloud. Legacy vendors have not innovated meaningfully and their secular decline continues. As to cloud competitors, we are the largest and fastest growing pure-play cloud provider. With over $500 million subscription ARR and growing rapidly, we continue to extend our leadership and market share. After the recent results by the number two pure-play vendor, many investors have been asking questions about secular cloud trends given that company's softening revenue and their flat mid-market and enterprise bookings growth. We, however, see no such headwinds. If we were to cast our mid-market and enterprise business in that company's terms of customers with over $1,000 MRR, it would be a $188 million business growing over 60% year-over-year. Our business is meaningfully larger and growing more than twice as fast as theirs. Additionally, our mid-market and enterprise bookings this quarter grew over 70%. In summary, we saw a significant momentum this quarter. Our strong growth in mid-market and enterprise was driven by innovative capabilities of our products and platform. Our channel partners continue to be key to our success. With our unwavering commitment to innovation and world-class customer service, we continue to expand our lead in the industry. I'll now hand it over to our CFO, Mitesh Dhruv.
Mitesh Dhruv - RingCentral, Inc.: Thanks, Dave. Good afternoon, everyone. Before I begin with the results, I want to ask that you refer to the slide deck posted on our IR website, which will help summarize the key points in our call today as well as provide some supplemental information. Unless otherwise indicated, all measures that follow are non-GAAP with year-over-year comparisons. A reconciliation of GAAP to non-GAAP results was provided with our earnings press release issued earlier today and in the slide deck posted on our IR website. With that, let me move on to our results. Q3 was an outstanding quarter. We delivered total revenue, operating margin and EPS above the high-end of our guidance range. In Q3, our software subscription revenue grew 30%. Normalizing for the decrease in AT&T sales that was consistent with our expectations, our core subscription revenue growth rate was 33%, up from 31% last quarter. For more data on our historical core growth trends, please see our earnings slide deck. Total ARR grew to $514 million, up 32% year-over-year. ARR for RingCentral Office grew to $434 million, up 37% year-over-year. Our performance in the quarter was led, once again, by our mid-market and enterprise business, which has grown to $155 million in ARR and up 80% year-over-year. It also represented over 50% of new sales for RingCentral Office, up from over 40% in the year ago quarter. Our seven-figure deals have helped drive this momentum. These deals have grown not only in numbers but also in size. Over the last four quarters, the average TCV of seven-figure deals has increased over 40%, demonstrating success in our expansion into the enterprise. Moreover, our enterprise expansion is more broad-based than just seven-figure deals. In the future, we are considering providing dollar-based metrics like ARR, that will more holistically capture the pace of our enterprise momentum. Channel partners were a key contributor to our up-market performance as well. In Q3, channel partners delivered another strong quarter of record bookings. This is the sixth quarter in a row that our channel partner bookings have more than doubled compared with the year ago period. Channel partners contributed about 30% of our overall bookings in the quarter, up from about 15% last year. Now, for some more color on the financial statements. Starting at the top of the income statement, total revenue for the third quarter was $130 million, up from $97 million a year ago. This represents 34% year-over-year growth, driven by record new sales and led by mid-market and enterprise performance; adjusting to the direct phone sales model resulted in a 3-point tailwind to our total revenue growth but has no impact on our subscription growth rate. Software subscription gross margin was 81.8%, among the best-in-class SaaS companies. This represents a year-over-year improvement of 170 basis points, demonstrating the leverage in our model as our business scales. Total gross margin was 77.2%, up 40 basis points year-over-year. On a comparable basis, adjusting for the change to the direct phone sales model, total gross margin would have been 210 basis points higher. Sales and marketing expenses were $63 million in the quarter, or 49% of revenues. This was flat year-over-year and up from 48% last quarter. The sequential increase was primarily driven by higher sales commissions from stronger new sales in the quarter. Our sales and marketing investment focus is on the mid-market and enterprise customers. This focus has resulted in positive impacts to our business model. For example, mid-market and enterprise customers have roughly half the gross churn rate versus small business customers. They also seed our land and expand pipeline. Driven by these trends, in Q3, we saw record low churn, strong sales momentum and over 40% of our new office business coming from existing customers. The combination of these positive indicators drove higher overall net retention. Continuing down the income statement, R&D expenses were approximately $16 million for the quarter or 13% of revenues. This was roughly flat with last quarter and down from 14% last year. Our innovative products are the fundamental reason why we win, and R&D investment is what fuels our differentiation. We anticipate continued investment in R&D in the future to drive our success in the market. Moving on to G&A, total G&A expenses were $16 million for the quarter or 12% of revenues, roughly flat with last quarter and a year ago. G&A expenses included investments in our systems and personnel to support our future growth, and we expect to see more leverage over time. Wrapping up the income statement, Q3 demonstrated strong operating leverage from higher revenue. Operating margin of 3.7% was above the top end of our guidance range of 2.5% to 3.0%. EPS was $0.06, above the high end of guidance of $0.03 to $0.05. On a GAAP basis, our EPS was a loss of $0.07. The difference between our GAAP and non-GAAP EPS was primarily driven by stock-based compensation. Free cash flow was $4.4 million in Q3, up from $3.2 million in Q2. Now, onto guidance for the fourth quarter. We expect software subscription revenue of $126 million to $127 million, or an annual growth of 29% to 30%. We expect total revenue of $136 million to $138 million, or an annual growth of 30% to 32%. Adjusted for the direct phone sales model, growth would be 3 points lower. We expect non-GAAP operating margin of 3.5% to 4%. We expect non-GAAP EPS of $0.06 based on 84 million fully diluted shares. The difference between GAAP and non-GAAP EPS is expected to be approximately $0.13, mainly due to stock-based compensation. This excludes any effects from currency re-measurement, which are difficult to forecast. Moving on to our outlook for the full-year 2017. We are raising our software subscription revenue guidance to $459.5 million to $460.5 million, or an annual growth of 29%. This is up from our prior guidance of $453 million to $457 million. We are raising our total revenue guidance to $497 million to $499 million, or an annual growth rate of 31%. This is up from our previous guidance of $489 million to $496 million. Adjusted for the direct phone sales model, growth would be about 3 points lower. We are raising the non-GAAP operating margin to 3.1% to 3.2%, from our prior range of 2.8% to 3%. We are raising non-GAAP EPS guidance to $0.19 to $0.20, up from $0.16 to $0.18 previously. This is based on 82 million fully diluted shares. The difference between GAAP and non-GAAP EPS is expected to be approximately $0.53, including $0.51 of stock-based compensation and $0.02 of amortization of intangibles and other items related to the Glip acquisition. This excludes any effects of currency re-measurement, which are difficult to forecast. We are raising our free cash flow guidance to $12 million to $15 million. This is up from prior guidance of $10 million to $14 million. In summary, Q3 was another great quarter with solid execution. And with that, I will turn the call over to the operator for Q&A.
Operator: Thank you. We will now be conducting a question-and answer-session. Our first question comes from the line of Terry Tillman with Raymond James (sic) [SunTrust Robinson Humphrey] (24:01). Please proceed with your question.
Terry Tillman - SunTrust Robinson Humphrey: Hey. Good afternoon, gentlemen. This was a great job. So, congrats on the quarter. Just first question, Mitesh, I appreciate all the color as it relates to looking at your revenue and then core revenue backing out AT&T. What I'm curious is, could you peel back the onion a little bit more and look at the core ARR growth on the office front? How would that look?
Mitesh Dhruv - RingCentral, Inc.: Sure, Terry. Thanks for your question. As you mentioned, our core growth, ex-AT&T, was very strong at 33%, up sequentially from 31% last quarter. Peeling back the onion, if you look at core office ARR, ex-AT&T, that growth was actually 44%, and was up from 42% sequentially. So, we had a record bookings quarter this time, driven by both secular trends and our execution. Just to give you a little bit more color on the drivers of the momentum this quarter as you asked, couple of points I'll make. Number one is, our investments we're making in the mid-market and enterprise segments are paying off. This business, this time was about north of $150 million business, growing at 80%. Point number two, our channel does continue to perform really well. Our bookings doubled for the sixth quarter in a row. And channel bookings is now about 30% of our overall bookings. And point number three, international is a key growth vector for us, where our Global Office is now available in north of 35 countries with close to 900 customers, our enterprise customers, using it. So, I think in sum, I think the acceleration does point to our competitive position in the market, and does set us up really well for 2018 and then our $1 billion target in 2020.
Terry Tillman - SunTrust Robinson Humphrey: That's great. And just my follow-up, thanks for the answer on that. Just, as it relates to field sales effort, so this concept of NFL cities, maybe – I don't know who this would be broadly (26:10), but where are we in actually the build out of the field sales across the country? And I know you're global in all parts of your business, but just looking at the domestic market, how far have you built out the NFL cities model and where are you in that productivity curve? Thank you.
David D. Sipes - RingCentral, Inc.: Great. Yeah. This is Dave Sipes. And, we've made great progress on the enterprise sales team, the field sales team as you talk about it. And I'm very happy with the quality of personnel we brought on, the speed that we brought on people on the ramping and maturity of that team and the leadership of that team. And we are well on the way to being complete on NFL cities by the end of this year. And I'd look at it as a future strong growth lever for the organization.
Operator: Our next question comes from the line of George Sutton from Craig-Hallum. Please proceed with your question.
George Frederick Sutton - Craig-Hallum Capital Group LLC: Thank you. Impressive results. So, as we look at some of the industry factors taking place, you still have the Avaya bankruptcy opportunity, you have the recent BroadSoft, Cisco combination. You've got the combination of a couple large premise vendors. Can you give us a sense of how that's impacting this opportunity, and what sort of duration you expect that to result in?
Vladimir G. Shmunis - RingCentral, Inc.: Yes. Hi, George. Vlad here. So, yeah, no, fair question. So let's take it from the top. As far as Avaya is concerned, nothing has changed. Avaya is still in bankruptcy. It may come out, but the reason they're in bankruptcy is because they do not have very viable cloud offering and cloud is clearly a better way of doing many things, certainly including business communications. So we don't see anything changing there. As we've noted, we continue making progress into Avaya's base, and very importantly are signing up major Avaya resellers. So that's a very strong tailwind for us. As far as Cisco and the recent news with BroadSoft, look, we've never seen either of them as direct competitors. We do not see any change in the field since this announcement has been made. Fundamentally, they're both legacy hosted providers. In Cisco case, they obviously also have a large installed legacy hardware base, but neither is a true cloud provider. So again, we don't see necessarily any change. The one thing I do want to note there and it's very, very early, but we are beginning to hear some rumblings in the industry from some of BroadSoft's customers or potential customers to what maybe they don't want to see that much concentration into one vendor, whereby before they may have had both Cisco and BroadSoft in pursuing a dual-vendor strategy, now that situation would be changed. But again, it's early, early to tell, but in any case as far as our mainline business, we don't see any change.
George Frederick Sutton - Craig-Hallum Capital Group LLC: Great. Vlad, just to look forward a little bit to your $1 billion goal, and I'm very confident you will get there. How will the business look different then than it does today?
Vladimir G. Shmunis - RingCentral, Inc.: It's going to be twice as large. (29:43) about it. Look, so we've made several claims, not always we say that we're going to be at $1 billion by 2020, but we also said that we will hit Rule of 40 in that same timeframe, which Rule of 40, just as a reminder, is basically our growth rate plus free cash flow. So we feel very comfortable not only with the $1 billion goal, but also with the Rule of 40 goal. And we continue seeing this as a very large opportunity, $50 billion plus, not counting the adjacencies. And we're still in the early innings. So we will continue investing towards growth, but with expanding margins and with, again, good confidence on hitting the Rule of 40.
Operator: Our next question comes from the line of Bhavan Suri with William Blair. Please proceed with your question.
Bhavan Singh Suri - William Blair & Co. LLC: Hey, guys. Nice job there. Just wanted to follow up on that margin question. Vlad, you just touched on Rule of 40, and maybe this is for you and Mitesh. You obviously exceeded operating margin, both your expectations and ours, this quarter. And again, I know you're not giving guidance for 2018, but as we think through how this plays out into 2018 and trajectory, just some color on what the drivers there are, and how we should think about the margin expansion next year, maybe the next 12 to 24 months?
Mitesh Dhruv - RingCentral, Inc.: Sure, Bhavan. I'll take it. It's Mitesh. So let's talk about the margin framework, specifically in 2018. Look, there are a lot of avenues for us to invest in right now being it's such a large market and that we are in a very early innings and we want to get the lion's share of this market. And we have been investing for a profitable growth over a period of time. So for 2018, what I'll guide you to is a similar framework we had for 2017 as we entered, which was up about 75 to 100 basis points target entering the year. So that's where I will guide you and I'll give you a couple of points of more color and the reasons behind that framework. The first is the investments we are making in the mid-market and enterprise segments have started to show return, be it in the product side and innovation side, as Vlad and Dave talked about in the prepared remarks, or the channel side, which has led to very consistent year-over-year growth rates over time. And more importantly, what happens is, once we get the customers on our platform, our installed base is very profitable. And it's a very high steady state margin, and that's been proven consistently with lower churn and higher up-sells. So I think our highest – net-net is to keep on self-directing those high profitable dollars into seeding future growth and to increase the long-term or terminal value of the company.
Bhavan Singh Suri - William Blair & Co. LLC: I'll supplement (32:54), I tend to think if you can drive acceleration then that makes ton of sense. Maybe just one follow-up for David here. As you think about the ramp of the salespeople you're adding mid-market and enterprise that for a while was sort of productivity took some time all the rest, but given the caliber of folks you're hiring, are you seeing any improvement in time to ramp or time to close that first set of deals or is that still sort of steady state?
David D. Sipes - RingCentral, Inc.: Yeah. I think what we see in the market is, you see in the enterprise space like a six to nine-month sales cycle, and so as we bring on new account executives in that area, they build that pipe over that typical sales cycle. And we've been very pleased with the progression of the enterprise team, to the fact that we've grown it to the extent we have already. And we're looking to really – this is a huge TAM opportunity and we're seeing the market turn from a customer perspective and also the channel perspective of bringing these large deals to the company. So we see just a very big opportunity going forward to continue to capitalize on that.
Operator: Our next question comes from the line of Meta Marshall with Morgan Stanley. Please proceed with your question.
Meta A. Marshall - Morgan Stanley & Co. LLC: Yeah. Thanks for the question, and then congratulations on the quarter. Just couple of questions. First is, both of your product, I'm just trying to get a sense of like how you envision kind of expanding the product portfolio and is it – you've expanded a lot in kind of maximizing the waves of internal communication or internal communication. Do you ever think about expanding the portfolio to external kind of customer communications or kind of SeaPass functionality, or I guess just where would you see biggest areas to add incremental functionality? And then second, I just wanted to get a sense of how often are you kind of brought in with other cloud vendors like a CRM or a Zendesk or others? And then, how often – or is that deal kind of a cloud deal and then how often is it just a communication deal, I guess? Thanks.
Vladimir G. Shmunis - RingCentral, Inc.: Right. Yeah. Hi, Meta, Vlad here. So, thanks for the congrats, it was indeed a good quarter. So, to answer your questions, so, we just had a user conference, I think I mentioned just briefly now. And the way I opened it is, I specifically stated what RingCentral is all about and how we see it. So, how we see it is enabling our customers to be more responsive to their customers. That was my opening line. So, RingCentral never has been about just internal communications, it's always been about enabling and empowering employees of our customers to be more responsive both within and without. So, certainly including external communications. And if you were to look at, for example, the way that our traffic breaks out, most certainly vast, vast majority of that is external to the company, so customers calling in. So, that has been the case, will continue to remain the case. And as a matter of fact, if you were to double click on that, but especially in the collaboration space, we have always been quite religious about making sure that external suppliers, customers, whatever or guest to the system as we would call them. That they would have similar access as employees would be, always appropriate protections in place of course. And this actually is a differentiated position for us. So, in any case, external, I would say, will be more of a strength for us as opposed to something that we would need to add. As to your second question, it's a great question and it speaks to our strength. So, we continue to be the only scaled up vendor with the truly open platform. And our direct cloud competitors are simply not there. And what it means is that, when we go in, quite often, we will be able to either offer a necessary integration or integrations, plural, straight out of the box and that includes all of those which you've already mentioned. But there are also many other cases where people have other software or cloud software that is not on our list, but because we have open APIs and a developer framework, our customers are able to provide those themselves. That's a huge differentiating point. So, we very much see ourselves as a member of the cloud ecosystem. We are, at this point, one of the larger vendors in the space, but we work both with our peers; companies larger than ourselves such as Salesforce and mainly, again true developers with many smaller vendors. And again, at our user conference, we have some nice examples. For example, one of the up and coming AI players is now providing integrations for RingCentral. It's a long list.
Operator: Our next question comes from the line of Kash Rangan from Bank of America Merrill Lynch. Please proceed with your question.
Kash Rangan - Bank of America Merrill Lynch: Hi, guys. Nice to see the reacceleration on your business, and nice to see the three handle on the growth rate. I think your Chief Financial Officer will recollect from his prior life, the magic of 34 growth company. You can grill into that separately offline, but so congrats. My question is, in the prior quarter, you had mid-market and enterprise retention rates, I think you quantified 125% or so. Just wanted to see if you could give us an update on how that shaped up in this quarter. And also secondly, more broadly speaking, could you comment on ARPU trends in your mid-market enterprise business? And also longer term, how the potential ARPU uptick and the dynamics of attrition going down could help the company's growth rate even more so than just unit growth rate? Thank you so much.
Mitesh Dhruv - RingCentral, Inc.: Yeah. Thanks, Kash. Good to hear your voice, surprise on this call. Although Nikolay did represent you really well on the calls previously, so thanks for the question. Yes, we did give out this metric last time, which was our net retention in the mid-market and enterprise businesses was about 125% annually. And this was given more as a directional comment rather than a key metric to demonstrate the long-term value we are capturing with these customers. And this number does vary quarter-to-quarter depending on how the mix between new business and up-sells. But this quarter, since you asked the question to answer it very specifically and directly, that number did go up sequentially. So, we had it better than last quarter's numbers. So, two drivers for that, number one is our gross dollar churn annually, which is in this segment it's half the rate of our SMB business. And just for the benefit, it's in the low-to-mid single digits right now annually for this the segment. And the second driver for this net retention metric is our up-sells. This quarter, net-net, we had strengthened both the numbers, churn went lower and we did see a strong up-sell quarter. So, as the mix shifts longer term towards these higher quality customers, you should see this net retention directionally go up over time. That's the first part of your question. Second part was on ARPU trends, I believe. And on ARPU trends overall, we are seeing a sequential as well as a year-over-year increase in ARPU even though we are moving up-market. And they are mostly driven by two vectors, one is larger customers do tend to adopt to a higher priced SKU, because their needs are more complex and they have to have larger meetings and then they have to explore the platform capabilities. That's vector number one. And vector number two is, we do have a lot of add-on new products like our global product, our contact center, our collaboration suite, which does give an uplift to the ARPU. So, net-net, I think we are seeing strong trends in our ARPU despite going up-market.
Operator: Our next question comes from the line of Mike Latimore with Northland Capital Markets. Please proceed with your question.
Michael Latimore - Northland Capital Markets: Great. Yeah. Thanks. Yeah. Excellent quarter. Just on the Contact Center application, how is demand generally for that, is it tracking well with overall bookings? And then separately, is that kind of in the smaller business market, are you seeing kind of use of your own sort of organic applications there for Contact Center being more widely used?
Mitesh Dhruv - RingCentral, Inc.: Yeah. So, the Contact Center is an important element of our entire product suite. And we are seeing increasing demand and ability of our sales force to sell it, and you'll see it in our $10 million deals, it becomes prominent in a majority of those deals. And I think your second question, as our own product, is, our Live Reports product, which is at the lower end and the Contact Center market continues to perform well in that regard. So, both of these are important as you bring the entire product suite of the Unified Communications as a Service, the Collaboration, video meetings and Contact Center.
Michael Latimore - Northland Capital Markets: Great. And then with regard to Glip, I'm sure it's growing quickly, any, just, clarification on kind of the traffic or use of Glip? And then in terms of when you're getting deployed, you typically sit side-by-side with other kind of team messaging apps or you replace them outright, what's the kind of usual outcome here?
Vladimir G. Shmunis - RingCentral, Inc.: Well, yeah, Vlad here. So, well, look, we're just unique. It's an absolute differentiator to have collaboration and communications under one umbrella. There is no other competitor that is even attempting to claim that at this point. So, it is a very big differentiator. It absolutely plays into us winning accounts across the board, including some very large accounts. We have not yet broken out Glip's specific use. And one of the reasons for that is that it's altogether. Remember, we're talking about a Unified Communications and Collaboration environment, so that just supports the rest of the company. But I can say that, we would not be seeing the momentum that we're seeing, if it were not for Glip.
Operator: Our next question comes from the line of John DiFucci with Jefferies. Please proceed with your question.
Unknown Speaker: Hey, guys. This is AJ Lubich (44:36) on for John. Congrats on a solid quarter. You had talked about a number of large deals in the quarter including with the healthcare company. As you think about continued traction into the enterprise, is there anything else you need to develop either in the product portfolio or on the regulatory side, in order to feel that you can penetrate the largest organizations across all industries?
David D. Sipes - RingCentral, Inc.: Yeah. So, this is Dave Sipes. We're continuing to sell well into the largest accounts. We do find – there is a number of elements that we continue to gain regulatory compliance on and administrative controls. We added FINRA compliance to the product recently, is one example. And I think you're seeing also through our open platform, an ability to integrate into key applications that these enterprises are using is a key differentiator for us and a way that we're winning some of those large deals.
Unknown Speaker: Great, thanks. And then you announced a number of innovations in the quarter. And I thought the Slack integration was particularly interesting and sort of playing off of the prior question. Can you talk a little bit about how meaningfully you think this combination could be in terms of leveraging Slack's installed base? And also, can you help us understand the balance of partnering with a meaningful collaboration platform, but also one that somewhat competes directly with your own Glip solution?
Vladimir G. Shmunis - RingCentral, Inc.: Yeah. No, very fair question. And Vlad here. Look, that's the whole beauty of the cloud. We're all family. Certainly, there are overlaps, but it's also the clear fact that we just think that Slack does not and Slack's customers require those things. And we've highlighted what they are. It's basically meetings and PSTN calling. So what we do with our integrations we do out of the box, our customer request is we see more of this coming about. We think it's great to enable Slack, and people like Slack with our functionality frankly vice-versa. Look, we have to see how it plays out. But, again, let me just get back to the fact that we are unique of the fact that we do have an open platform. And we're not necessarily taking sides. If somebody chooses to use Slack for messaging and RingCentral for communication that's fine too. If somebody chooses to consolidate with RingCentral providing both collaboration and communications capabilities that's even better from our perspective.
Operator: Our next question comes from the line of Brian Peterson with Raymond James. Please proceed with your question.
Brian Peterson - Raymond James & Associates, Inc.: Hi, guys. Thanks for taking the question, and congrats on the quarter. So I wanted to unpack answer to Kash's question a little bit, on the ARPU actually increasing with some of the enterprise customers. So as we think about the evolution of RingCentral moving up-market, should we think about that that per-seat pricing actually increasing as a growth factor over the next few years?
Mitesh Dhruv - RingCentral, Inc.: Sure, Brian. It's Mitesh. So yeah, I think overall so far so good. We have seen an upward trend in the ARPU. And you did hit the nail on the head that as we go up-market, yes the up-market customers do expect to get a better pricing than a SMB customer and that's just the nature of the game. But also because of the complex needs they have, they do tend to choose higher-end SKUs. So if you look at our premium and enterprise SKUs, over 50% of the customers that come in the door, they choose for those higher-end SKUs, that's number one. And also those higher-end complex customers do tend to add on products like our Live Reports products or a Global Office or a full collaboration suite. So if you marry those two vectors together, I think the trend directionally is here to stay.
Brian Peterson - Raymond James & Associates, Inc.: Got it. Thanks, Mitesh. And maybe just one clarification, obviously the channel has been pretty strong for you guys. Any help on comparing the enterprise sales cycles with channel partners versus the direct relationships? Congrats guys.
David D. Sipes - RingCentral, Inc.: Yeah. So the enterprise sales cycles, they tend to be the same both through channel and through direct. We are getting a lot of traction with our partners that we've brought on board through enablement of their teams and gaining both reputation from our brand and credibility with those partners. We received the highest award on CRN, it's a key industry association for channel as the 5-Star second year in a row, and I think it goes to the quality of our team that is addressing the channel opportunity and developing those relationships. And you see the results obviously in the growth of channel, which we mentioned over 100% for six quarters in a row, but also – and contributing to seven of our 10 $1 million deals in the quarter.
Operator: Our next question comes from the line of Sterling Auty with JPMorgan. Please proceed with your question.
Sterling Auty - JPMorgan Securities LLC: Yeah. Thanks. Hi, guys. Just maybe, you gave the big win examples, but how would you characterize the business in the quarter by industry? So which industry across the board were the strongest for you in the quarter-end? Any quantification would be great.
David D. Sipes - RingCentral, Inc.: This is a broad-based application, and we're showing strength across almost all industries. So we continue to invest in a horizontal fashion with our enterprise sales team and our channel across all industries. We believe that every employee in every company needs the modern communication platform that we're bringing to market. And I think that's what you're seeing in adoption from the end-customer and also from the partners that are bringing the deals.
Mitesh Dhruv - RingCentral, Inc.: And also, Sterling, I'll just add on to what Dave just said in a different dimension or a vector. Dave just mentioned how horizontal the deals were. From my seat, what was interesting to us was, not just that we had 10 deals, large TCV deals in the quarter, up from seven last quarter and six the previous year, also the value we are capturing from those deals is much larger. So over the last four quarter average, the average TCV for these deals have gone up 40%. That demonstrates it's just not the sheer quantity, it's also the value we are capturing as we're going up-market.
Sterling Auty - JPMorgan Securities LLC: Got it. Thank you.
Operator: Our next question comes from the line of Charlie Erlikh from Robert W. Baird. Please proceed with your question.
Charles Erlikh - Robert W. Baird & Co., Inc.: Hey, guys. Thanks for taking my question, and congrats on the quarter. Just a quick one for me. Have you guys seen anything different competitively this quarter? Are the BroadSoft-based products gaining any traction or anything different from Cisco or Microsoft or Google? Any updates there?
Vladimir G. Shmunis - RingCentral, Inc.: Well, Vlad here. I'll take that. Well, yeah, Google is doing great. And we've been expanding our integration there. This was one of the core announcements we had at the user conference last week. So that's great. With BroadSoft, I already touched on that. Look, we never saw BroadSoft directly. So, the recent announcement obviously hasn't change that. They're still fundamentally a hosted legacy software vendor selling through carriers and service providers. So, no, we have not seen any change there. We continue hearing, or at least anecdotally, that our win rates are again sort of in the field are sort of in the 80% plus range. If you look at our growth versus growth of everyone else in the field who is reporting, you can see BroadSoft growing in single digits, and that is mostly on their maintenance revenues. So, licensing is not going anywhere. That means that there is no sell-through, continues to be no sell-through. You know where our direct competitors are, they're just half our size, growing at half the rate. So, we're winning there. And Cisco, I already touched on as well. I mean, all of legacy is in secular decline, that's been well documented. So, we are only seeing tailwinds, is how I would summarize it.
Charles Erlikh - Robert W. Baird & Co., Inc.: Great. Thanks.
Operator: Our next question comes from the line of Catharine Trebnick from Dougherty & Company. Please proceed with your question.
Catharine Trebnick - Dougherty & Co. LLC: My question. On your prepared remarks you talked about your international expansion and how well you're doing. Is what percent of revenue is international? And then on the follow-on to that, could you give us some background on which countries you're using which particular value-added resellers and strategic partners to help make this push? Thank you.
David D. Sipes - RingCentral, Inc.: Yeah. So, it's Dave Sipes. We talked about our expansion. In Western Europe, we added 13 countries in the euro currency offer recently this year as well as expansion of channel partners in France. And we've worked closely with some of our core strategic partners, and Google being one specifically that we've been able to sign-up a number of their partners in that country. And we also participated in the Google Next conference in Paris last month and where there were 2,000 partners at that conference. And so that's where we're getting a lot of traction and expansion throughout Western Europe.
Operator: There are no further questions in the queue. I'd like to hand the call back over to management for closing comments.
Mitesh Dhruv - RingCentral, Inc.: Thank you so much for your interest in RingCentral. We'll see you next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.